Operator: Thank you for standing by. My name is Sydney, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lemonade Q1, 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. We will now turn it over to you Yael to begin the conference.
Yael Wissner-Levy: Good morning, and welcome to Lemonade's first quarter 2023 earnings call. My name is Yael Wissner-Levy, and I'm the VP Communications at Lemonade. Joining me today to discuss our results are Daniel Schreiber, Co-CEO and Co-Founder; Shai Wininger, Co-CEO and Co-Founder; and Tim Bixby, our Chief Financial Officer. A letter to shareholders covering the company's first quarter 2023 financial results is available on our Investor Relations website, investor.lemonade.com.
– : Any forward-looking statements made on this call represent our views only as of today, and we undertake no obligation to update them. We will be referring to certain non-GAAP financial measures on today's call, such as adjusted EBITDA and adjusted gross profit, which we believe may be important to investors to assess their operating performance. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our letter to shareholders. Our letter to shareholders also includes information about our key operating metrics, including in-force premium, premium per customer, gross loss ratio and net loss ratio and a definition of each metric, why each is use flow to investors and how we use each to monitor and manage our business. With that, I'll turn the call over to Daniel for some opening remarks. Daniel?
Daniel Schreiber: Good morning, and thank you for joining us joining us to discuss Lemonade's Q1 results and our updated outlook for the year. We are heartened by the continued progress we're seeing across all the KPIs that we rely on in managing our business. Our growth metrics, IFP, of course, but also its component parts like annual dollar retention and premium per customer, all moved up nicely. And at the same time, our loss ratio and adjusted EBITDA loss both moved down nicely. And I think that tells a compelling story. Looked at from another angle, we see that our gross earned premium and gross profit both grew by over 60% year-on-year even as our operating expense grew by only 4%. Whichever way you look at it, Q1's results suggest that the business is progressing, both in size and profitability very much in line with what we'd hoped to see. As Tim will share shortly, we're boosting our adjusted EBITDA guidance for the year by some 20%, and suggesting that we don't see this goodness as limited to Q1, but rather that we believe Q1's results will be reflective of an improved trend line on our path to profitability. Delaying on the loss ratio for a minute longer despite continued inflation and increased frequency of natural disasters or cats, our loss ratio continued its descent, clocking in at 87%, down from 89% in the previous quarter and 94% of the quarter before that. This welcome decline is even more pronounced when examining the underlying progression net of cat, using this filter, we see a 7 percentage point drop quarter-on-quarter and a 16% drop over the past six months. As mentioned in previous calls, we expect our current trajectory to broadly continue, albeit with occasional hiccups when outside cats introduce a brief reversal. Powering this progress is continuous advancement in our AI and machine learning capabilities and the increasingly predictive power of the data sets on which they are fed. At our Investor Day last November, we demonstrated LTV6 our integrated array of AI is able to predict churn, cross-sells and claims with what we believe is unprecedented precision. In the first quarter of this year, we deployed our latest model, LTV7 and its successor, LTV8, will supplant LTV7 by midyear. Each new generation represents a significant milestone within our company. LTV7, for example, refined our cat loss predictions pretty dramatically, while LTV6 predicted cat exposures at a ZIP Code level. LTV7 increased that resolution, and we now assess cat exposure of each discrete home individually. Our models will continue evolving as our data becomes richer and more extensive bringing us ever closer to achieving true precision pricing and underwriting. Finally, I want to highlight that our much anticipated three partnership launched in Arizona this week, and we'll continue to roll out across the U.S. in the weeks to come. We're eager to see the results of combining two such tech-powered and values aligned companies to serve pet families nationwide. With that, I'll hand the call over to Shai to dig a little deeper into what's happening in the world of and the welcome implications for Lemonade. Shai?
Shai Wininger : Thanks, Daniel. I'd like to spend a few minutes on the hottest topic around generative AI. AI has always been an integral part of our DNA. Lemonade was built as a tech-powered insurance company. We were the first to provide customers with human-like chat-based experience that works 24/7 and handles all of our direct sales. On the back-end, we built a first of its kind insurance operating system that lets our team service our customers efficiently and delightfully. This year, ChatGPT 4 and other large language models made a huge leap forward, a jump that I believe will change our lives in ways we can't fully imagine. But even before we let ourselves wonder how artificial intelligence will impact society, the potential impact this technology brings to businesses like ours is substantial. Generative AI and specifically GPT and its successors are technologies that can reason and learn like never before. They have the potential to not only improve efficiency and customer service, but to revolutionize the way we assess risk and make decisions. This technology will help us better anticipate customer needs, respond to more claims instantly and ultimately provide better coverage at lower costs. For our competitors, though, adapting to this change will not be easy. A traditional insurance company depends on hundreds of disparate software tools to run its business. many of which are outdated legacy systems built decades ago by third-party vendors. With little to no control over the development of these tools, integrating generative AI technologies like ChatGPT will require a significant amount of time, effort and investment. And even then, it may never leave up to its full potential. Lemonade on the other hand, was built for this moment. Nearly eight years ago, we took a bet on a conversational UI and chatbots. And since then, have sold nearly 100% of our policies with no -- over the years, we've updated our systems to use the latest AI technology as models evolved and became increasingly better. Today, we use dozens of AI models to do pricing, underwriting, customer service, payments and many other internal operations. We even built our own internal AI framework to help us manage and deploy models seamlessly and quickly across the organization. In just a matter of days, our team was able to add ChatGPT and other generative AI tools to our platform. We now have more than hundred different initiatives, which we believe can have a meaningful impact on our business. As a result, we expect to see more savings in the next 18 months and anticipate continued improvements in both our expense and loss ratios. And with that, I'll turn the call over to Tim, who can provide more detail on our Q1 results and a view into the rest of 2023. Tim?
Tim Bixby: Great. Thanks, Shai. I'll give a bit more color on our Q1 results, as well as expectations for the second quarter and the full year, and then we'll take your questions. It was a strong quarter on every key metric with good progress on loss ratio, marketing efficiency and expense management. In-force premium or IFP grew 56% in Q1 as compared to the prior year to $653 million. Absent the impact of the Metromile acquisition, organic annual growth was approximately 32%. Customer count increased by 23% to $1.9 million as compared to the prior year. Premium per customer increased 26% versus the prior year to $352. This increase was driven primarily by the Metromile acquisition impact and to a lesser extent, the combination of increased value of policies over time, as well as a continuing mix shift toward higher-value homeowner car and pet policies. Annual dollar retention, or ADR increased by five percentage points to 87% versus the prior year, a new high. We measure ADR, as a reminder, on an annual cohort basis and include the impact of changes in policy value, additional policy purchases in churn. Gross earned premium in Q1 increased to 61% as compared to the prior year to $154 million, roughly in line with the increase of in-force premium. Revenue in Q1 increased 115% from the prior year to $95 million. The growth in revenue was driven by the increase in gross earned premium as well as a reduction in the proportion of premium ceded to reinsurers to roughly 56% in the quarter as compared to approximately 71% in the prior year. Our gross loss ratio was 87% for Q1 and as compared to 90% in Q1 2022 and 89% in Q4 2022. The impact of cats in Q1 was roughly 14 percentage points within the overall gross loss ratio. Absent the impact of all cats in Q4 and Q1, the underlying non-cat loss ratio showed solid improvement of roughly seven percentage points from Q4 to Q1. Operating expenses, excluding loss and loss adjustment expense, increased just 4% to $96 million in Q1 as compared to the prior year. And this increase is primarily driven by increased personnel expense and stock-based compensation expense, in large part due to Metromile acquisition, but partially offset by lower sales and marketing expense. Other insurance expense grew 49% in Q1 versus the prior year, roughly in line with the growth of our earned premium. Total sales and marketing expense declined by $10.1 million or 26%, primarily due to lower growth acquisition spending to acquire new customers. Notably, our growth spend efficiency improved in Q1, each dollar spent on growth generated roughly 12% more IFP this quarter versus the prior year. Technology development expense increased 29%, primarily due to the Metromile acquisition, while G&A expense increased 16% as compared to the prior year, but notably increased just 5% as compared to the prior quarter. Personnel growth continued at a very modest pace. Our headcount increased just 1% as compared to year end 2022 to 1,384. Headcount increased 19% as compared to the prior year, again, primarily due to the impact of the Metromile acquisition in Q3. Net loss was $65.8 million in Q1 or $0.95 per share as compared to the $74.8 million loss we reported in the first quarter of 2022 or $1.21 -- excuse me, per share. While adjusted EBITDA loss was $50.8 million in Q1, an 11% improvement as compared to the $57.4 million adjusted EBITDA loss in the first quarter of 2022. Our total cash, cash equivalents and investments ended the quarter at approximately $993 million, reflecting a use of cash for operations of $46 million since year end 2022. And with these goals and metrics in mind, I'll outline our specific financial expectations for the second quarter and for the full year 2023. For the second quarter, we expect in-force premium at June 30 of between $665 million and $668 million, gross earned premium between $156 million and $158 million, revenue of between $96 million and $98 million and adjusted EBITDA loss of between $58 million and $55 million, stock-based compensation expense of approximately $15 million, capital expenditures of approximately $3 million, and our weighted average share count, we estimate to be approximately 70 million shares. And for the full year of 2023, we expect in-force premium at December 31 of between $700 million and $705 million, gross earned premium of between $645 million and $650 million, revenue between $392 million and $396 million and an adjusted EBITDA loss of between $205 million and $200 million. We expect stock-based compensation expense for the full year of approximately $60 million and capital expenditures of approximately $12 million and a weighted average share count of 70 million shares. And with that, I would like to hand things back over to Shai.
Shai Wininger: Thanks, Tim. We'll now turn to the top-voted shareholders' questions submitted through the safe platform. Darren asks, how can we expect investors to support the current team if insiders aren't buying shares at today's low levels? Darren, thanks for the question. As you can imagine, we concretely get into our team's personal financial considerations. Each of our colleagues have their own situation, their decisions to buy and sell shares are guided by personal factors that I'm unaware of and I'm not involved in, but I can speak for myself, and I know Daniel is in a similar position. Lemonade has been and remains by far our largest holding, and we don't plan for that to change anytime soon. We are both heavily financially invested in Lemonade and wholeheartedly believe in the long-term vision we shared with our shareholders. For that reason, we're both completely aligned with our investors financially. By the way, throughout the life of the company, both Daniel and I chose to have our compensation updates paid in shares with a high strike price. We believe that this aligns us with our investors even further and ties our financial success with the success of those who decided to invest in the company. In any event, though, I believe that personal financial decisions of other people shouldn't be the main factor for anyone when deciding to invest in a company. People have different considerations, including availability of cash, portfolio balancing, as well as family and other commitments. I wouldn't recommend investors buy or sell shares by mistakenly treating insiders liquidity decisions as signals. Instead, I hope you and others will focus on whether you believe Lemonade can deliver on the vision we've outlined and how that would benefit today's shareholders. Well, the second question, Brian A. asked about Lemonade car progress and plans for the next six months. Well, Brian, we are extremely pleased with the progress made in our car product and especially since acquiring Metromile. We've taken tremendous strides forward in two key areas; firstly, in data infrastructure. It was an enormous undertaking, but we are now fully leveraging Metromile's decades' worth of data in our machine learning models. Our risk and pricing models rely on this data, which includes claim frequency and severity and customer retention. Secondly, in cost realization, over the past year, we have achieved tens of millions in annualized cost savings by consolidating Lemonade and Metromile management, operations and vendor expenses. We continue to optimize our operations. And once we are able to transition all of Metromile's customers to Lemonade systems, we will unlock even more savings. In the next question, George asked if path to profitability is management's top priority and if so, to elaborate on the strategy? Certainly, George, profitability is our top priority, and our updated guidance reflects our commitment to further improving the bottom-line. We are focused on two key areas: loss ratio and expense ratio. The fact that we're investing in this isn't new, but we're definitely starting to see the results of the hard work by our team. For loss ratio, we've increased our rate filing significantly compared to prior years. And I'll touch upon that in the next question as well. Our improved TV models enhance our underwriting and pricing and our claims technology is becoming more and more efficient. In fact, if you can see in the graph we included in the shareholders' letter, this is delivering a steady and significant quarter-over-quarter improvement in loss ratio. Regarding expense ratio, we're constantly focused on optimizing our operations. For example, removing redundancies of vendors and systems between Metromile and Lemonade. As we continue to automate and add more self-service capabilities using our chat bots and AI, we're starting to see investments in our internal systems pay off with reduced reliance on headcount per policy sold. This approach brings us closer to structured completeness and allows us to dramatically reduce our need for hiring this year. The fact that contributed in part to the updated adjusted EBITDA guidance we are giving to date. In the next question, paperbag asked about our usage of AI, which I hope I addressed in my previous comments in the letter. So I'm jumping to your next question, paperbag, which is about the progress we're making with our regulatory rate changes. Thanks for this question paperbag. Regulatory approvals are a significant factor in ensuring where pricing customers precisely and play a major role in our downward trending loss ratio. But as discussed extensively in previous quarters, the process of getting rate changes approved can take time, but we're seeing some strong signs that our increasing pace of rate filings is paying off. In Q1 this year, we filed 30% more rate changes than in the same quarter last year, while 55% more filings were approved in comparison to Q1 2022. In fact, more than 50% of our earned premium in our book today for our home and pet customers is using the need rates. Take for example, our pet product. Last year, new rates were approved and implemented in 30 states across the country, impacting more than 50% of active pet policies. This year, pet loss ratio saw a 9.5 points of improvement, all in the season typically known for its higher frequency of pet claims. This major reduction in loss ratio can be attributed to price accuracy rate changes that were earned in. Overall, our rate changes, coupled with our improving technology to price risk correctly put us on track to continue to reduce our loss ratio across the book. In any event, though, do bear in mind that even once rates are approved and implemented, their impact still has a time line. New rates flow in one policy at a time on renewal. This means that it can take up to a year for the full impact to register on our loss ratio. Turning to Amandeep, who asked about SoftBank seemingly exiting their lemonade position. Actually, SoftBank has not exited its position as far as we are aware. What you're probably referring to is our recent SEC filing triggered by a change in regulatory compliance structure put in place a few years ago. For some more context, several years ago, we put into effect the regulatory compliance structure called the JIC, which was required by our New York regulator in order to deal with SoftBank's 20% ownership of Lemonade. Now that SoftBank ownership has decreased below 20%, by the way, not due to share sales but actually due to dilution, the structure is no longer needed and was dissolved as of March 31. The SEC filing was solely to reflect that this entity was dissolved. And with that, let me hand over the call to the operator so we can take some questions from our friends on the street.
Operator: [Operator Instructions] Your first question comes from the line of Yaron Kinar [ph].
Unidentified Analyst: Thank you. Good morning, everybody. I guess my first question, just looking at the EBIT growth that you achieved this quarter and I think you can call out is if that it was better than you expected and then didn't quite meet the expectation of -- or the ability to slow down. I guess, one, what actions are you taking now to better execute on the slowing growth? And does the stronger growth that you saw this quarter potentially risk the loss ratio improvement targets -- or in other words, are you confident that you're not getting selected against with these wins when other insurers are also trying to hold growth.
Daniel Schreiber: Yaron, good morning. Good to talk to you, Daniel here. Yeah, we spoke about this slowdown as a maneuver we've not quite mastered yet somewhat tongue in cheek. Tim referenced earlier that we saw a significant improvement in our marketing efficiencies. So for every dollar that we spent, we got 12% more sales than we had planned, -- and therefore, all of our sales are kind of ahead of plan, but no, it doesn't impact the loss ratio plans that we have. What it does mean is that we are earning in dollars at a suboptimal loss ratio. So -- it just means that these sales will not be as profitable as if they were made six months hence. But we do not anticipate that adversely affecting the progress or introducing adverse selection as
Unidentified Analyst: Got it. Thank you. And then maybe a clarification on the guidance or any expected changes in the reinsurance program or in reinsurance costs factored into the updated guidance? And if not, maybe you could offer your expectations on the impact from those?
Daniel Schreiber: Yeah. Great question. So this is an area where I would note that we've made a modest shift in how we put the guidance together by choice and by design. So the last couple of quarters, as we've noted, we have a reinsurance structure that's almost entirely renewing at July 1 -- this is something we've known about for some time and have been working actively on. Things are going well. But as we noted in the letter, we won't be sharing the details until we have them in stone, which will be over the coming couple of months. In terms of the guidance, the previous guidance assumed that our existing reinsurance structures would continue in place that we knew that it was likely that they might change. Our current guidance anticipates nearly all the outcomes that we think are reasonably likely. We don't know the exact terms, but we've factored in, call it, the 80% or 90% probability range of what the outcomes will likely be and factored that into our guidance. It won't be perfect, but it will be -- we're quite comfortable that it represents where we expect to be when those deals are inked shortly.
Unidentified Analyst: Thank you.
Operator: Your next question comes from Jason Helfstein.
Jason Helfstein: Hey, thanks. Two questions. The first, can you talk I guess, at a high level, if you embraced more of a kind of a refi or a captive structure that some others in the Insurtech industry, are thinking about some private companies have been doing how that potentially impacts kind of reported financial results and if that potentially goes to address, what are kind of underlying strength, but then ends up being offset by kind of cat and other noise? And then the second question, I mean, right now, you basically have a buyer strike, right? The stock is trading kind of give or take a cash kind of in the market, I'm putting any kind of multiple even on the gross profit. And because you have insurance investors who want profitability and you want have tech investors, who basically either don't want decelerating growth or don't want to take the time to understand the complexity of insurance and accounting. So, maybe even if you want to merge those two questions together, how do you think you kind of address that broadly? Thank you.
Daniel Schreiber: So I'll take the first one. We don't -- again, we don't want to get too far ahead of ourselves and talk about terms that are not in place yet. That said, a captive structure is something we've thought about and designed as a potential option going forward. You shared some details on how we are thinking about that at our Investor Day. And I anticipate that will be part of the mix. I would expect that we'll retain more risk perhaps than we have previously. I expect, we'll leverage a captive where and how that makes sense. And I think, though, we don't have final terms, I wouldn't be surprised that there is some aspect of for share that continues. So, I believe it will be a combination of those things, and we'll figure out the proportion that makes sense, and we have factored the likely outcomes into our guidance. So we're down that path, and we're looking forward to update when we have the hard facts. In terms of a buyer strike, I'll let you characterize the market as the experts. But I think what I would point folks to who are -- who are holders of our shares, who are considering holding our shares, who might be on strike or not, depending on how you think about it, to the key metrics. And I think, this is the second quarter in a row, where on the three primary pillars of progress, we delivered significant improvement in loss ratio, strip away the cat, and it's more significant still, second quarter in a row, a significant improvement on the operating expense ratios. The three or four quarters before, we saw a I'm sorry, three quarters before versus the most recent two quarters, something like a 20 point improvement in the ratio of expenses to gross earned premium. And then the guidance, I think, kind of cements the fact that we believe that this is not a recent anomaly, but these are teams and trends, but we have some real confidence will continue, so loss ratio, marketing efficiency, operating expense efficiency. Those are the three primary metrics I tell you, we are on track. We're not satisfied. We're one quarter into the year. And I think the notable adjustment in guidance tells you that, not only is the business performing, but we're taking this very seriously. And I hope that we have communicated that we're very well aligned with folks who are either holders or potential holders of our stock.
Jason Helfstein: Thank you
Operator: Our next question comes from Tommy McJoynt.
Tommy McJoynt: Hey good morning guys. Thanks for taking my questions. Going back to the sales and marketing expense front, so it looks like the last two quarters, the range has been about $25 million to $30 million per quarter. Is that what you expect it to be for kind of the run rate for the foreseeable future? And if you could also comment, to the extent that you're not really focused on adding new customers, is there an opportunity to lower that amount even more, as you focus on just marketing, second and third products to existing customers presumably at a much lower cost in terms of the form of advertising, since they're already Lemonade customers.
Tim Bixby: Yes. So I think what you saw in the year-on-year comparison, exactly what you're referring to, which is, an ability to deploy fewer absolute dollars, which is part of our choice to grow at somewhat more modest pace with each dollar going further. And that's something where we do have that lever to pull. I think in Q1, you saw some of the momentum in our growth efficiency where we lowered the spend and yet we're able to perform at or better than our expectations. And so, that's something where we can pull that lever and it happens. It doesn't happen overnight, but it happens reasonably quickly. In terms of the sales and marketing line, I would expect if you kind of roll our guidance forward for the year. I would expect that our expense lines to be roughly in a similar ratio as you saw in Q4 and Q1 relative to each other and sales and marketing included. Within sales and marketing is, of course, the growth spend, which is the highly variable portion of that line item. And in the past, that growth spend has typically been in the 65% or maybe 70% of that sales and marketing bucket range. This quarter, it was about $60 million. And so, that gives you the sort of a feel for how we're managing that line item. Couldn't we reduce it more? We certainly can, but what we anticipate in the guidance is that, we kind of like this run rate. We like the progress towards profitability and the expense efficiency and the guidance implies that it will be fairly steady with what you saw in Q1.
Tommy McJoynt: Got it. Thanks, Tim. And then, just on a separate topic. It looks like you guys are picking up a little bit more yield on the investment portfolio. Is kind of the yield that we saw in the first quarter kind of where we should expect it to be going forward, or is there an opportunity to pick up even more yield on that cash and investment balance?
Daniel Schreiber: Yes. So that's a line item we're never satisfied. You can see the progress there. But, of course, the market rate appears higher. There's a little bit of a lag, because we're heavily invested and you don't want to make those moves too quickly, because it does cost you something in the short term. But I'm hopeful that we can keep pushing that up and get a higher yield over time. I wouldn't layer in too much there yet, but that is a goal that we want to get that as close to market rates as we can.
Tommy McJoynt: Makes sense. Thanks, Dan.
Operator: Your next question comes from the line of Josh Shanker.
Josh Shanker: The Holy Grail for everybody is trying to figure out what the loss ratio is by product. I know that you're not going to tell us on this call. But can we talk about a relative relationship as you're not able to slow the growth as much as you want, between the lines of business with healthy loss ratios and the ones that are nonetheless growing, even though it's not your goal. I mean, we see what's happening in auto insurance and it's very hard for anyone to make a profit here. That would be the area that would be easiest to slow, but probably have the highest loss ratio. Do you have a -- well, you can talk about relations between the areas that you're growing in, whether you're trying to or not and what the loss ratios are for those various products?
Tim Bixby: Yes. I would recharacterize the description of us being unable to slow. We're able to slow. In Q1, things held stable when we give our guidance and we have our own expectations. We don't assume that everything will go right or that every trend will continue forever. And I think what we saw in Q1 is a lot of things went right. Very few surprises other than a higher cat rate which also in insurance is not necessarily a surprise. And so we were somewhat ahead. So I think our ability to adjust the growth rate incremental customers, incremental premium is very much in our hands and really a marginal effect where it was a little faster, than little slower. So I would characterize it, more that way. In terms of a more aggressive approach to managing the book of business and the relative loss ratios, to-date, we've been -- we've not chosen to sort of shrink to excellence strategy. That is something that exists in insurance. Our retention rates are quite high, but we do really closely focused on net new customer acquisitions. And what you saw in Q1, especially, we shared a chart where we strip out the cat impact in the quarter, what you saw is concrete effects of the filings we made starting to take effect. So the trends we saw last year in terms of our filings and approvals are now earning their way into the book of business. And so we're not -- we don't love higher loss ratios. We're not so troubled by them because we can see that forward trend. If you look at Q1, which you can't see externally yet, that pattern continue. Many filings in many large states with very aggressive price increases, but fair price increases that will work their way into the book, over the coming year and that's -- if you think about path to profit and the loss ratios kind of critical part of that, that filing and earning in aspect is something that we spend a great deal of time on, and it's going well.
Josh Shanker: And then…
Tim Bixby: I'll just add ….
Josh Shanker: …go ahead, please.
Tim Bixby: Sorry, Josh. I'd just add, we spoke and demonstrated this visually during our Investor Day back in November as well. And in the opening comments, I referred to LTV 6 and LTV 7 and team LTV 8, we've been already in November, but we've been further integrating these technologies into our growth engine, which is to say that every advertising campaign down to the particular Google ad words the geographic focus, et cetera, is prioritized based on these algorithms, which is to say that we put zero dollars against products, geographies or customers that we think will not be a net contributor to our gross profit. And that's working well. It was working back then. It's just getting better and smarter. And in fact, during the Investor Day, we shared some predictive loss ratios. And we're auditing ourselves and performing very well relative to those predictions as well. So our confidence keeps growing in that regard. So the short answer to your question is, yes, our growth is targeted. It's not many at products with gross loss ratio, but at customers with gross loss ratios, at geographies be of loss ratios, et cetera. And not many near-term Q1 loss ratios, but lifetime loss ratios, a lot of intelligence goes into that.
Josh Shanker: Renters, is a fairly low capital consumption sort of business. And while we don't have your loss ratios, I assume they're attractive enough that adding rents customers is additive to the portfolio at this point. Is there any restriction -- are you happy to add as many renters customers you need your hands at this point, or would that be managed as well?
Tim Bixby: We welcome all renters. We're growing that business, your assumption is absolutely correct. It's a very profitable book. And we're able to offer a great product and target customers who are profitable. So the short answer to your question is, yes.
Josh Shanker: I just make a comment. Thank you for the catastrophe loss ratio disclosure. I think it does a great story for you guys. It would be fantastic if you want to give us the historical data so we could put them to our models.
Tim Bixby: We'll take that into account. Glad, it’s helpful.